Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Supremex 2025 Fourth Quarter and Year-End Earnings Conference Call. [Operator Instructions] Before turning the meeting over to management, please be advised that this conference call will contain statements that are forward-looking and subject to a number of risks and uncertainties that could cause actual results to differ materially from those anticipated. I would like to remind everyone that this conference call is being recorded on Thursday, February 19, 2026. I will now turn the call over to Martin Goulet of MBC Capital Markets Advisors. Please go ahead.
Martin Goulet: Thank you, operator. Good morning, ladies and gentlemen, and thank you for joining this discussion of Supremex' financial and operating results for the fourth quarter and fiscal year ended December 31, 2025. The press release reporting these results was published earlier this morning via the Globe Newswire News services. It can also be found in the Investors section of the company's website at www.supremex.com, along with the MD&A and financial statements. These documents are available on SEDAR+ as well. A presentation supporting this conference call has also been posted on the website. Let me remind you that all figures expressed on today's call are in Canadian dollars unless otherwise stated. Presenting today will be Stewart Emerson, President and CEO; as well as Norm Macaulay, CFO. With that, I invite you to turn to Slide 37 of the presentation for an overview of the fourth quarter, and I turn the call over to Stewart.
Stewart Emerson: Thank you, Martin, and good morning, everyone. Well, although 2025 had its ups and downs, Supremex made significant progress in further expanding its presence in key markets. With 3 acquisitions, the addition of many new customers and multiple successful initiatives to enhance efficiency, it was indeed a busy year. Despite the persistent headwinds from over 12 months of labor unrest, unhelpful press and delivery disruptions, yes, a word was plural, disruptions at Canada Post and the significant volume reduction from a single important U.S. direct mail client, we put our head down, got to work and actually increased our envelope volume in a declining market and grew packaging revenue by more than 8% for the year and 18% in the fourth quarter alone. In parallel, we returned significant value to our shareholders and finished the year with an exceptionally strong, call it, a fortress financial position with less than $1 million in net debt, putting us in the driver's seat to execute our business strategy. Right out of the gate, I want to thank our employees for believing in our plan and for their unwavering dedication to continuous improvement and superior customer service to help us achieve this important growth. Now turning to operations. Let's begin with the envelope business. While fourth quarter revenue held steady year-over-year, it was up 8.5% sequentially from Q3, which in itself was up 3% from Q2 despite those tremendous headwinds that I'll discuss in more detail shortly. Envelope volume grew 5.3%, again, against the backdrop of some tough headwinds driven by the exceptional spade work in the U.S. envelope market and to a lesser extent, the contributions from Enveloppe Laurentide acquired in July and from Elite Envelope acquired in December, which I'll come back to shortly. Clearly, we continue to increase our penetration of the U.S. market with substantial share of wallet growth and impressive organic business development throughout the year, which is a testament to the strength of our envelope sales and operations team. As I said earlier, this yeoman's work allowed us to offset significantly lower volume from 12-plus months of labor, service and delivery uncertainty at Canada Post and the continued substantial volume decline from customer #1 in the U.S. On the latter, the change in mailing patterns and buying habits has persisted for a few quarters now, and we're getting closer to lapping the headwind as evidenced in the decline was significantly less this quarter than earlier in the year. What I think is important is that despite the impact of this 1 customer, we have been able to pivot to the point where we sold more units in the U.S. in 2025 than in the prior year, which again is a reflection of the brand and the sales team. While the U.S. volume decline was offset, the mix in margin is different. New business or replacement business is of a much different profile than the higher value-added volume that it was replacing. It comes with both lower cost and lower selling price, hence, the sales decline. However, this increased replacement volume was critical in maintaining a high level of asset utilization and absorption but it comes with more operating and SG&A expenses than dealing with a single large customer. Despite these additional expenses and lower pricing, we generated an adjusted EBITDA margin of nearly 16% for the quarter. Again, marking a significant sequential increase over the third quarter where margin came in shy of 12%. This is another impressive example of the resiliency of our envelope business, the commitment of our people and the quality of our assets. And as I alluded to earlier, in December, we completed the acquisition of Elite Envelope. With relatively small annual volume of approximately USD 5 million, Elite has been servicing the New England market for over 2 decades out of a facility located in Randolph, Massachusetts, South of Boston. That facility is just less than an hour away from our existing and much larger Douglas, Massachusetts facility, and we completed the transfer of production and several hourly and sales staff to Douglas immediately after Christmas. As part of a 3-month transition services agreement, we are in the process of selling excess equipment and will exit the Randolph facility at the end of February. While it takes effort, we invested the energy because Elite is another perfect tuck-in acquisition for Supremex with a rapid payback of less than a year. The additional volume will improve asset utilization and absorption in Douglas while yielding additional synergies, and importantly, leaves Supremex as one of the very last short-run local manufacturers in all of New England. In a subsequent event, we recently announced the decision to shutter our envelope manufacturing capabilities in Indianapolis, Indiana as part of our rationalization and network optimization initiative. While the Indianapolis location played an important role in the Supremex success in the U.S. envelope market dating back to its acquisition in 2015, the location became significantly less strategic after the 2022 acquisition of the 2 plants in the Chicagoland area, some 2 hours away. In 2025, the facility produced less than 8% of the total Supremex units sold, and we are confident in our ability to retain the sales as we locate production to other facilities in the network. While it's true that the envelope market is in secular decline, let me repeat that despite the gas caused by one, albeit large customer in -- our U.S. volume was up in 2025. And excluding that customer, U.S. volume increased almost 15%. And for all of Supremex units have increased by -- in excess of 5% and revenue by low single digits. I recognize there's a lot of ifs and buts in there, and it's not generally my style but not providing the added color would do a disservice to the listener by underreporting the significant gains we continue to make in envelope. As I said earlier, we've almost lapped the impact of the account and the Canada Post -- and Canada Post ratifying its labor agreements a month ago, I look forward to not having to address these issues again anytime soon. Finally, with respect to envelope, to sustain and accelerate our momentum, we added Andy Schipke as Vice President of Sales for U.S. Envelope. Andy is well known in the envelope and mailing industries for building relationships and delivering results and is responsible for leveraging the entire Supremex envelope platform to drive volume, improve customer reach and strengthen Supremex' position as the third largest envelope manufacturer in North America. Turning to packaging. We had another solid quarter driven by folding cartons' strong performance in the health and beauty and the over-the-counter pharmaceutical segments coupled with impressive new business wins from current and reactivated customers and revenue from the Trans-Graphique acquisition in July, which supports our strategy of enhancing our presence in food-grade packaging where we see superior stable growth. In addition, we sustained our upward trajectory in e-commerce solutions and specialty packaging driven by new customer wins and greater volume from existing customers and looking ahead, we expect the momentum to continue unabated. Unfortunately, again, this quarter and throughout the year, the impressive gains made by the core folding carton and e-commerce packaging solution verticals was partially offset by the commercial printing activities where they too have a meaningful reliance on Canada Post to deliver the coupons, direct mail and its inner components, which we produce. We anticipate some of this volume to come back now that the delivery uncertainty has ebbed with the signing of the new collective agreements in late January, and we continue to push for new opportunities to support absorption while at the same time, managing the cost structure in line with the revenue stream. As for profitability in the overall Packaging segment, we concluded both the quarter and the year with an adjusted EBITDA margin of approximately 13% and approximately 16%, excluding the commercial print activities, marking substantial improvements year -- over the prior year, but still shy of true potential. As I said in the past, potential is a great thing to have, but a bad one to keep. We're actively tackling transitioning potential into results by stimulating revenue and volume growth to improve asset utilization and absorption, continue to push for operational improvements and synergies across the network and evaluate the various business units on their individual merits. With that, I turn the call over to Norm for the financial results.
Normand Macaulay: Thank you, Stewart. Good morning, everyone. Please turn to Slide 38 of the presentation. Q4 total revenue amounted to $72.9 million, up 5.6% from $69.1 million last year. Envelope revenue was $48.9 million, up slightly from $48.8 million last year and up sequentially from $45.1 million in the third quarter. The year-over-year variation reflects a 5.3% volume increase driven by the contribution of Enveloppe Laurentide for the entire period and of Elite Envelope over 3 weeks. It also reflects new customer wins and share of wallet growth in the U.S., as Stewart indicated, which offset lower volume from a large U.S. customer and the negative effect of disruptions at Canada Post. Meanwhile, average selling prices decreased 4.8%, reflecting volume reduction from a large U.S. customer and lower average prices on the business acquired from Enveloppe Laurentide. Packaging and specialty products revenue was $24 million, up 18.3% from $20.3 million last year and also up significantly on a sequential basis from $20.6 million in the third quarter. The year-over-year increase is mostly due to higher folding carton revenue, driven by important gains with large multinational consumer packaged goods customers, sustained expansion of our e-commerce packaging activities new business wins from existing customers and the contribution from Trans-Graphique acquired in July. Moving to Slide 39. Adjusted EBITDA totaled $9.1 million or 12.5% of sales compared to $12.9 million or 18.7% of sales in last year's fourth quarter but up sequentially from $6.2 million or 9.4% of sales in the third quarter of 2025. Envelope adjusted EBITDA was $7.8 million or 15.9% of sales versus $9.2 million or 18.8% of sales last year, but up sequentially from $5.3 million or 11.8% of sales in the third quarter. The year-over-year decrease mainly reflects lower selling prices. Packaging and specialty products adjusted EBITDA was $3.2 million or 13.2% of sales up from $2.4 million or 11.6% of sales last year and up sequentially from $2.2 million or 10.5% of sales in the third quarter. The year-over-year increase is essentially due to higher folding carton volume, as mentioned a moment ago. Finally, corporate and unallocated costs totaled $1.9 million compared to a $1.4 million recovery last year. The main driver of that variation was a foreign exchange loss of $1.3 million this quarter on intercompany trade AR [ NVP ] compared to a gain of $0.8 million last year. This is a noncash item related to the revaluation of intercompany balances and does not reflect the underlying operating performance of the business. In fact, this accounting revaluation accounted for most of the year-over-year decline in consolidated adjusted EBITDA. As we look ahead, we are evaluating options to reduce the noise and volatility of the intercompany FX movements on our reported results. The goal is simply to ensure that our reported results more clearly reflect how the business is actively performing without unnecessarily volatility. Turning to Slide 40. Reflecting the reduction in adjusted EBITDA, a Supremex concluded the fourth quarter with net earnings of $1.3 million or $0.05 per share versus $5.8 million or $0.23 per share last year. Adjusted net earnings were $1.5 million or $0.06 per share in Q4 2025 versus $5.2 million or $0.20 per share a year ago. Moving to cash flow on Slide 41. Net cash flows from operating activities totaled $14.1 million versus $9.2 million last year. The increase stems from improved working capital efficiency, partly offset by lower profitability. As a result of higher operating cash flow, free cash flow was $13.4 million in Q4 2025, up from $8.7 million a year ago. For the year, free cash flow totaled $73.2 million. Excluding the $53 million inflow from the sale leaseback completed last July, our free cash flow yield is approximately 22% on a trailing 12-month basis considering our recent share price. Turning to Slide 42. Net debt stood at $1 million as at December 31, 2025, down from $8.9 million 3 months ago, and down significantly from $41.2 million at the end of last year. The decrease reflects a long-term debt repayment of $39 million using proceeds from the sale leaseback and solid free cash flow generation. Our ratio of net debt to adjusted EBITDA was 0.03x versus 0.26x 3 months ago and 1.02x a year ago which is well within our comfort zone of keeping our leverage ratio below 2x. Our strong financial position leaves us with significant flexibility to finance our operations and future investments, including acquisitions as well as to return funds to shareholders. Since initiating a normal course issuer bid program in August, we've repurchased over 171,000 shares for consideration of $0.6 million. Subsequent to year-end, we repurchased an additional 45,000 shares for consideration of $0.2 million. Finally, the Board of Directors declared a quarterly dividend of $0.05 per common share payable on April 2, 2026, to shareholders of record at the close of business on March 19, 2026. I now turn the call back over to Stewart for the outlook. Stewart?
Stewart Emerson: Great. Thank you, Norm. I trust you can hear that we're encouraged by the significant improvements achieved in our core business during the late stages of 2025. And the end of the Canada Post disruptions and the lapping of the customer #1 headwind. Entering 2026, our foundation is stronger than ever, both operationally and financially as we continue to methodically build this business for the long term. Operationally, ongoing efforts to improve productivity and optimize our footprint are paying off. In parallel, when we look at the underlying fundamentals, our teams have done a great job in both segments to drive sales by leveraging the brand to grow share of wallet with existing customers and driving new customer wins. Financially, our almost debt-free balance sheet provides us with the considerable flexibility to execute our business plan and sustain long-term profitable growth. We have successfully integrated 3 tuck-in acquisitions in the latter half of 2025, and we will continue sourcing similar opportunities to leverage our existing footprint while simultaneously exploring more substantive M&A opportunities. Finally, we remain committed to optimizing returns to shareholders through regular quarterly dividend payments and timely share repurchases. This concludes our prepared remarks. We are now ready to answer your questions.
Operator: [Operator Instructions] Our first question today is from Donangelo Volpe with Beacon.
Donangelo Volpe: It's good to see resumption of top line growth in Q4. Just wondering how things are looking now that we're kind of at the halfway point in Q1 in terms of pricing and volumes in both Canada and the United States? Just kind of wondering if we should be expecting year-over-year top line growth to persist throughout Q1?
Stewart Emerson: Donangelo, thank you very much for the question. Q1 is off to a good start, reasonable start. As I said, I think the important piece is the lapping of the headwind that we had in 2025. So that's an important element and sort of gives us the opportunity to continue that upward trajectory. Envelope is envelope and the debate on Canada Post and whether there's longer-term effect of the labor disruption is still open for debate. Our penetration in the U.S. continues to be extremely strong. Team has done an amazing job there and less reliance on customer #1 sets us up for that continued growth. Packaging doing extremely well, particularly the folding carton and the e-commerce segments. So yes, Q1 looks solid, and we continue to push forward.
Donangelo Volpe: Okay. Just moving over to the Elite Envelope acquisition. Correct me if I'm wrong, trailing 12-month revenue was about $5 million. Could you provide the trailing 12-month EBITDA figure?
Stewart Emerson: It was low single digits on a percentage standpoint pre-synergy.
Donangelo Volpe: Okay.
Stewart Emerson: Sorry, low double digits. Did I say single digit?
Donangelo Volpe: Yes, you said double digit, yes.
Stewart Emerson: Yes, double digits. Yes. I thought, s*** did I say single.
Donangelo Volpe: Double is always better than a single.
Stewart Emerson: Yes, indeed.
Donangelo Volpe: Okay. And then just pivoting over to, I guess, kind of the capital allocation strategy. So just given the current debt to adjusted EBITDA ratio, I'm just wondering how aggressive you guys are expecting towards M&A on the packaging side. And if you could give an update on the pipeline here and a reminder on which areas you'd be most interested in, it would be appreciated.
Stewart Emerson: Yes. I don't think our strategy has changed from what we've done over the last couple of years with respect to tuck-ins. If there are tuck-ins that are accretive very, very quickly, close by existing operations, whether it be envelope or packaging, we're certainly interested in doing those. With the cleaned up balance sheet and my commentary is that we're now in a position to do something more substantive, and we've always indicated that more substantive would be on the packaging side, preferably in Canada. And I would say our pipeline is fairly robust.
Donangelo Volpe: Okay. And then final question for me. Just regarding the closure of the envelope facility in Indi. Just wondering if you could provide any insights towards the weighting of nonrecurring charges in Q1 versus Q2.
Normand Macaulay: Nonrecurring charges, like we're going to take a provision in the first quarter, and it will probably be somewhere between $1 million to $2 million. That being said, the synergies that we're going to derive from this should be fairly substantial as the year plays out.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Stewart Emerson for any closing remarks.
Stewart Emerson: Great. Thank you very much, operator. Thank you to everybody for joining us this morning. I really appreciate you taking time out, and we look forward to speaking to you again at our next quarterly call. Have a great day.
Operator: This brings to a close today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.